Operator: Good day, ladies and gentlemen, and welcome to the LPL Financial Holdings First Quarter Earnings Conference Call. At this time, all participants are in a listen-only mode. Following management's prepared remarks, we will host a question-and-answer session and our instructions will follow at that time. [Operator Instructions] As a reminder, this conference call is being recorded. It is now my pleasure to hand the conference over to Mr. Chris Koegel. Sir, please begin.
Chris Koegel: Thank you, Brian. Good afternoon and welcome to the LPL Financial first quarter 2017 earnings conference call. On the call today are Dan Arnold, our President and CEO; and Matt Audette, our CFO. Dan and Matt will offer introductory remarks, and then we will open the call for questions. We ask that each analyst limit their questions to one question and one follow-up. Please note that we have posted our earnings release and supplementary files on the Events & Presentations section of the Investor Relations page on lpl.com. Before turning the call over to Dan, I'd like to note that comments made during this conference call may include certain forward-looking statements concerning such topics as our future revenue, expenses, and other financial and operating results; the regulatory environment and its expected impact on us; industry growth and trends; our business strategy and plans; as well as other opportunities we foresee. Underpinning these forward-looking statements are certain risks and uncertainties. We refer our listeners to the Safe Harbor disclosures contained in the earnings release and our latest SEC filings to appreciate those factors that may cause actual, financial or operating results or the timing of matters to differ from those contemplated in such forward-looking statements. In addition, comments during this call will include certain non-GAAP financial measures governed by SEC Regulation G. For a reconciliation and discussion of these measures, please refer to our earnings press release. With that, I'll turn the call over to Dan.
Dan Arnold: Thank you, Chris. It's good to speak with everyone on today's call. Last quarter I reviewed our key strategic priorities for 2017. As a reminder, we're focused on growing our core business and executing with excellence, which we believe will create value for our advisors business and for our shareholders. With that as context, I'd like to start my remarks today by sharing the outcomes that resulted from our focus on those priorities. The macro environment was favorable in the first quarter, which helped advisors attract new assets as investors sentiment improved and the rising markets increase the value of existing assets. In addition, the Fed rate hikes in December and March created more value from our cash sweep deposit. This macro environment was supported to our efforts to grow our core business. At the end of the quarter, total assets reached $530 billion up 11% year-over-year and 4% sequentially driven by organic growth in rising markets. Total net new assets were $2.6 billion and advisory net new assets were $6 billion both up from the prior quarter. Additionally, following our previously announced price reductions and improved functionality. Our inflows on centrally managed platforms increased as more advisors use this capability to drive scale in their practices. These business results include the impact of the client departures that we spoke about last quarter. Excluding those departures first quarter totaled net new assets were $6.5 billion and our advisor count increased by 95. These results reflect the continued success of our advisors in the marketplace and our progress in growing our core business. Let now turn to our financial results for the quarter. Gross profit was up year-over-year driven by increased revenue from cash sweep and transaction and fees. Our EBITDA grew faster than gross profit as we stayed disciplined on expenses and generated operating leverage. These results led to $0.52 of earnings per share in Q1. As expected, our results included a loss of $0.14 on the early retirement of debt from our refinancing. Excluding that charge, our first quarter EPS was $0.66 up 18% year-over-year. Matt will go into greater depth on our financial results in his remarks. As we look forward, we put into stay focused on driving business growth and delivering operating leverage. I'd now like to talk more about our ongoing work in support of our first strategic priority growing our core business. As I've shared previously, we aim to grow by focusing on core markets, leveraging industry disruption as a catalyst for growth and investing in capabilities that differentiate our advisors and help them grow their business. For 2017 this means, expanding technology capabilities enhancing our advisory platform and preparing for the DOL fiduciary rule. On the technology front, we are expanding capabilities that create efficiency for our advisory and free up time to focus on growing their business. As part of that effort, we are working to full transition advisors to client works by the end of the year. As for our advisory's solutions we are focused on enhancements that will differentiate our advisors helping them to serve more clients and attract assets. This means continued investments in our centrally managed platforms including the introduction of new functionality into Model Wealth Portfolios or MWP. We're also lowering third-party manager cost and continuing to add functionality such as model management and our separately managed account solutions. These efforts are intended to add functionality and lower cost for retail investors. While giving our advisors more capacity and differentiated solutions with which to grow their practices. The final growth driver I want to discuss is our DOL fiduciary rule implementation plans. We are on track for the requirements for June 9, at the same time we're focused on our preparations for the January 1, 2018 implementation date including supporting our advisors through the related operational changes. More broadly, we expect the rule to create disruption that will lead to the movement of both advisors and assets in the coming months and years. Our goal is to help advisors be prepared to meet their clients' needs with differentiated solutions that ensure retail investors retain access to choice and advice while positioning LPL Advisors for continued growth. We believe the changes we are making are good for investors and advisors and that our leadership on this front, can help us attract more advisors and institutions. The M&A environment could also become more attractive as we believe industry and regulatory changes could drive consolidation in the broker-dealer landscape as it becomes more difficult to successfully compete. We believe we're well positioned to capitalize on opportunities as the industry evolves. I would now like to discuss our second strategic priority executing with excellence. Staring with efficiency, two quarters ago we established our 2017 core G&A outlook which called for another year of modest expense growth. We plan to achieve this trajectory by funding most of our new investments through productivity and efficiency gains in other areas. We remain committed to diligent expense management as a key component of executing with excellence and we're maintaining our 2017 core G&A outlook. Our focus on execution also means driving quality for advisors and their clients. Whether through their service interactions, the strength of risk of our risk and controls or the thoughtful rollout of new solutions. We're using automation to drive greater quality and we're consistently monitoring data to track and evaluate our performance. As we work to execute our strategy, we are building an on purpose organization, we're one team focused on one strategy and all of our goals support that strategy. This alignment of purpose helps us all work together to succeed in serving our advisors and delivering results for our shareholders. Our execution of the strategy as I've outlined today should serve to further fuel the growth and success of our advisors just as it does for LPL. A recent third-party study by Cogent showed retail clients ranked LPL Advisors first in their customer loyalty 24 leading distributors. This is a testament to the appeal of LPL Advisors business model and of the quality of the service they provide. Continuing to enable them in the delivery of much needed objective financial guidance remains at the core of our strategy and drives the quality of our execution. In closing, we had another quarter of business growth and increased operating leverage. We remained focused on growing our core business and executing with excellence. We believe if we succeed on those priorities, we can create long-term shareholder value. With that, I'd like to turn the call over to Matt.
Matt Audette: Thank you Dan and I'm glad to speak with everyone on today's call. Q1 was a good start to the year. Equity markets and interest rates were up and our business and financial performance continued to strengthen. We grew assets organically increased gross profit, remained disciplined on expenses and drove operating leverage. Along with our solid business fundamentals, we refinanced our entire debt structure and we restarted share repurchase. This translated into $0.52 of earnings per share in Q1. And these results include a loss on early retirement of debt related to our refinancing. Excluding that charge, EPS was $0.66 up 18% year-over-year. We were pleased to start the year with these business and financial results. Let's now go into our Q1 results in greater depth. Starting with brokerage and advisory assets. We finished the quarter at $530 billion, up $21 million or 4% sequentially driven by a combination of market and organic growth. Net new assets were $2.6 billion or 2% annualized growth rate up slightly from $2.5 billion in Q4 and net new advisory assets were $6 billion or an 11% annualized growth rate up from $4.8 billion in Q4. These organic inflows help demonstrate that our advisors are successfully growing their practices and that LPL is winning in the marketplace for new advisors. As a reminder, last quarter we noted that we expected some large departure related to institutional clients and clients separations. In total, we expected about $6 billion in mostly brokerage assets and 210 advisors to leave over the first half of 2017. During Q1 we saw $3.9 billion in assets leave related to those departures. This included $1.1 billion of advisory assets and $2.8 billion of brokerage assets along with 118 advisors. Excluding those departures net new assets were $6.5 billion with advisory a net inflow of $7.1 billion and brokerage in that outflow of $0.6 billion. Also excluding the departures advisor count increased by 95 and production retention was 98%. We also continued to focus on enhancing the transparency and clarity of our results. Last quarter we provided historical range for net brokerage to advisory conversions. To improve transparency on this metric, we're adding the actual data by quarter to our disclosures. And in Q1, we had $2.3 billion of conversions. This is consistent with secular industry trends with assets moving from brokerage to advisory. When higher level of services appropriate for investors. We also added a historical file on our investor website that provides this metric going back to the beginning of 2015. I also want to provide a brief update on our monthly metrics. We began reporting monthly metrics at the start of last year to increase transparency into our ongoing progress. We first disclosed some of our most important metrics assets and cash sweep balances. We believe, now is the time to expand this report include net new assets. So we will begin reporting monthly data for brokerage and advisory net new assets and brokerage to advisory conversions starting with our April metrics release in mid-May. In addition to new metric disclosures, we are working to make our key trends clear as well. Last quarter, we introduced key metrics presentation which we have now updated for our Q1 results and posted to our investor website. Today, we also posted and updated investor presentation which highlights our strategic priorities and areas of focus. We hope you find these helpful and better understanding our business. Let's now turn back to Q1. Our gross profit was $376 million up 8% sequentially. This is primarily driven by higher cash sweep and transaction in fees revenues along with lower production expense. Looking at commissions they were $421 million down $2 million sequentially. This is primarily from lower variable annuity sales commissions driven by a change in our VA pricing. As a reminder last fall, we announced that we would eliminate the 7% upfront commission structure on January 1, 2017 and that change was the primary driver of our lower VA sales commissions in Q1. The remaining VA options have lower upfront commissions as well as trailing commissions. So we expect this change will continue to ship sales two trails overtime. As advisory fees they were $330 million up $4 million or 1% from Q4. Advisory fees are mostly billed off prior quarter balances. So Q4 market growth and recruiting benefited these revenues. The results also reflect a $3 million impact from the previously announced pricing reductions are essentially managed platforms. And the lower pricing help generate the improved assets inflows Dan discussed. Turning to payout rate, it was 85.9% in Q1 down from 86.4% in Q4 primarily driven by seasonally lower advisor production bonuses. Moving onto asset base fees, which includes sponsor and cash sweep revenues. Sponsor revenues were $98 million up $2 million from Q4. This increase is due to higher market levels which drove average billable assets up. As for cash sweep revenues they were $60 million up $11 million from Q4. This growth was primarily driven by higher yields as a result of the December and March rate hikes. As we look forward our cash sweep revenues continue to have good leverage to rising short-term interest rates. At high level, we estimate approximately $40 million of annual gross profit benefit for each of the next few rate hikes. This is based on a $30 billion cash sweep balances and assumes we retain roughly half of the benefit of 25 basis point rate hike. We view this estimate as conservative given that market deposit rates have not moved much through the last three rate hikes. And as a reminder, our max yield on Money Market funds is around 80 basis points. So the upside will be slightly lower as we reach higher rate. Given that we just had rate hike in March. I want to share a little color on our ICA yield outlook for Q2. As a reminder, our ICA portfolio is placed with about 30 banks with a range of different structures. While Fed funds is the primary index, we also have contracts index to one-month LIBOR and three-month LIBOR along with a small amount of fixed balances. Yields on some of these deposits moved higher ahead of the March rate hike benefit in Q1. We also actively managed the placement [indiscernible] deposits among our partners banks which can impact the yield in any given quarter. Given all this, we anticipate ICA yields in Q2 to be roughly 100 basis points assuming no changes to the portfolio mix, client deposit rates and Fed funds rates. Now turning back to Q1 and to transaction in fee revenues. They were $108 million up $5 million or 5% sequentially. This is due to more transactions seasonally higher IRA fees and $2 million in non-recurring termination fees related to the institutional departures I noted earlier. Another $1 million of termination fees were included in other revenue this quarter. Let's now move onto expenses starting with core G&A. In Q1, core G&A expense was $177 million down $4 million from Q4. This was driven by seasonally lower cost including professional fees and customer statements. Partially offset by higher payroll taxes and 401(k) expense that are typical in Q1. For the year, our core G&A outlook remained $710 million to $725 million and we feel good about our progress through the first quarter. We plan to stay disciplined on expenses and focused on driving operating leverage. Moving onto Q1 promotional expenses, they were $37 million up $1 million sequentially. Our two large advisors conferences this quarter increased expense by $9 million as expected, but we also had lower cost on our smaller conferences. So the next conference expense increase was $7 million. This increase was mostly offset by seasonally lower marketing expense and lower transition assistance. Looking ahead at promotional expenses, we will not have a major conference in Q2, but we also expect seasonally higher marketing spend and an increase in smaller conferences. So we expect Q2 expense to be roughly similar to Q1. Just remember the transition assistance which is based on recruiting success and is somewhat more difficult to predict, could move the total up or down. Moving to regulatory related expenses for Q1. Our total was $5 million down $1 million sequentially. Looking forward regulatory expense remains difficult to predict especially on a quarterly basis, but we continue to expect our 2017 full year results to be closer to our 2016 total of $17 million, than our 2015 total of $34 million. Turning to taxes, our tax rate for Q1 was 36%. This was below our normal rate due to change in accounting standards for share based compensation. We had a large number of options exercised this quarter and our tax rate benefited under the new standard, but we still expect our normal tax rate to be in the high 30% range going forward. Next, let's turn to capital management. We remain focused on balance sheet strength and allocating capital to drive growth in shareholder returns. To further strengthen our balance sheet, we refinance our entire debt structure in March and we achieved attractive terms given the strength of the market in our financial performance. To summarize some of the benefits, we extended our maturities, diversified our funding sources to include fixed rate senior notes and upsize our undrawn revolver. And in this process, we lower the spread above LIBOR on our term loan by 150 basis points from our last refinancing and we no longer have financial maintenance covenants on our term loans. These improvements position us well to fund future growth and give us more flexibility to take advantage of market opportunities. Now turning to our leverage ratio, we finished the quarter at 3.3 times down from 3.4 times in the prior quarter. As a reminder after our refinancing this metric only applies for revolving credit line which is undrawn. The 3.3 times ratio was within our target range of 3.25 to 3.5 times, but we'd emphasize that we're comfortable operating above or below our target range depending on the returns we see in the market. Let's now turn to capital allocation starting with CapEx. In Q1, we had $31 million of CapEx primarily from technology spend. We see good returns from these technology investments in driving growth and efficiency both for our advisors and for us. We anticipate Q1 will be one of our higher quarters for CapEx this year and we continue to expect full year CapEx will be down slightly from our 2016 total of $128 million. Now for returning capital to shareholders. We were out of the market for share repurchases for over a year, while we focused on balance sheet strength and assess the impact of DOL role. Given the work we have completed on both fronts, we feel more comfortable now deploying excess capital. So following our refinancing, we started our share repurchase program. We bought 567,000 shares for $22 million. We also returned $23 million in the form of regular dividends in Q1. Before closing I want to update you on our Investor and Analyst Day. We heard a lot of positive feedback on last year's event, which was our first in three years. Given that, we decided to make this an annual event and scheduled our 2017 Investor and Analyst Day for November 8 in New York, we'll share more details as we get closer to the event. In closing, we're pleased to have started the year with strong business and financial results. We remain focused on growing assets and gross profit. Staying disciplined on expenses to great operating leverage and deploying capital to drive growth in shareholder returns. With that operator, please open the call for questions.
Operator: [Operator Instructions] our first question will come from the line of Conor Fitzgerald with Goldman Sachs. Please proceed.
Conor Fitzgerald: Just want to kick it off with a question on your other asset base fees. I know you talked about how higher asset levels were helping drive to growth this quarter. Could you talk about the core trends you're seeing in this revenue line? And then on that point, I know you [indiscernible] mutual fund broker IRA account last year. Can you just talk about where you are in this process and how we should think about this product, helping you grow your [indiscernible] revenue?
Matt Audette: Sure I'll take the first, I think Dan will probably take the second one, mutual fund. I think on other aspect asset base and this is primarily sponsored revenue. So I think when you just look at the quarter highlight two things. First one that we talked about and you observed the average billable assets are going up [indiscernible] increase. The other thing just to highlight is the large attrition we talked about is primarily brokerage related and it shows up in the commission lines as well as this line. If you have a little bit of offset in that growth. The way I think about is, it's really connected to the brokerage side of the business and where you see the growth there mostly.
Dan Arnold: And just on the mutual fund, only solution. We continue to work on the solution we're excited about its capabilities and how we believe it will help the advisors differentiate themselves going forward with respect to supporting commission based mutual fund business and as we prepare for that work, we just got to be thoughtful about how we introduced that into the system in the spirit of helping our advisors manage through change and also some of the uncertainty around when the fiduciary rule may go into effect or more specifically the DOL rule. So we haven't landed on any specific dates relative to the availability of it, but we continue to be excited about offering it.
Conor Fitzgerald: That's helpful thanks and then just on quarter for net new asset growth. Just any commentary on some of the particular areas you had success and then maybe a bigger picture question, but I know one of the big themes at the Investor Day last May was between your focus on growing the core business and kind of getting back on your front foot, just wondering if kind of the posturing or [indiscernible] attitude from the companies is maybe helping to inflect growth upward.
Matt Audette: And I'm sorry, what was the first part of your question. I got the second one, what was the first part?
Conor Fitzgerald: Yes just any area of particular success you had recruiting from or kind of competitor step.
Matt Audette: Great, thank you. So let me hit the recruiting one first then I'll go back and talk about the macro growth question. So on the recruiting front we continue to see good advisor movement across what I would call the independent and employee based channels we typically recruit from, so that's encouraging if you think about just the independent space, the typical. Advisors that's [indiscernible] so we see good movement across the entire spectrum and certainly this was helpful for delivering good solid both fourth quarter and first quarter results from a recruiting standpoint. So we feel good about the momentum that's represented in those two quarters. So hopefully that helps you with the question around recruiting. I think with respect to your bigger question around our focus on growth. Well clearly that is one of our priorities and our strategy and we got good alignment across the organization around how we do that, that is ultimately in recruiting and adding new advisors to our business from an organic standpoint, that's supporting and helping our existing advisors grow their business and then continuing to create a compelling value proposition such that we retain the advisors that we support and I think no doubt being clear about what it is, that we're focused and how we go about doing those three things is certainly improving the execution behind that aspiration to achieve that. I think we also see to complement that organic growth opportunity, we continue to see opportunity potentially with the change in the marketplace and then the environment opportunity for potential consolidation and thus we feel like and believe we're well positioned to capitalize on any opportunity we see that will create shareholder value to complement those organic growth aspirations. Let me pause there and see if that helps you.
Conor Fitzgerald: That does, thank you and appreciate taking my questions in your monthly disclosure.
Operator: Thank you. Our next question will come from the line of Steven Chubak with Nomura. Please proceed.
Steven Chubak: So wanted to start with a follow-up for letting to one of Connor's earlier questions about the mutual fund only brokerage accounts and I know it's a new initiative you're looking to introduce, but also you can maybe just help us size the opportunity from bringing those mutual fund assets on platform there sitting with those third parties and in particular just try and parse the benefit that we expect from higher non-cash asset base fees versus the benefit of having access to those cash balances once they're cost to these with LPL.
Matt Audette: Sure, Steven I'll start with that one. I think high level way to think about it is we've got little bit north of $50 billion and mutual fund assets held direct. If you look at the ROA of the brokerage side of the business it's in the low 20s. I think our custody business would be north of that and the direct business would be south of that. So I think the opportunity is, overtime that $50 billion moving from just under 20 to just over 20. Is a directional way to go about it? So hopefully that helps.
Steven Chubak: [Indiscernible] to speak about the potential benefit you get from having access to that cash, is like 5% of those balances or off that $50 billion are reasonable expectation. And maybe how long would it take for you to fully onboard the $50 billion, like what's your reasonable timeline?
Matt Audette: Yes Steven, I think when you think about the difference in the ROA, I think having custody of the cash is probably the primary driver or one of the primary drivers, so how many more precision for you than other than that, that's the primary driver, in timing we'll have to see and I guess Dan discussed, we don't have specific dates on that yet, but I think timing we'll just have to see.
Steven Chubak: Got it and just one more on the deposit rate guidance looking at the ICA deal [ph] this quarter? I was hoping you could actually parse some of the individual components that you were speaking to that drove the positive surprise. So how much was the function of the lower deposit rate versus the frontloading of the LIBOR increase and maybe what's your expectation at least in the near term given some of the competitive dynamics you're seeing? In terms of what's reasonable deposit rate expectation? I know you talked about 50% longer term, but just over the next couple of rate hikes, what should we expect?
Matt Audette: Yes, I think when we look at the quarter's results right when sitting here last quarter we're looking in the low 80s and came in at 88 and obviously we were assuming the current interest rate environments, we did have a benefit of another rate hike. And I think probably the primary thing I'll point you to is things are not just indexed to Fed funds, we've got to 1-month and 3-mont LIBOR and then I just emphasized the team is constantly managing the portfolio. So in the level of precision of low 80s versus upper 80s there are a lot of different things going on. I think on looking forward on deposit rate. I mean we continue to think 50% rate or 50% pricing coefficient. In hindsight we'll end up being conservative, so I think that's where the $40 million EBITDA per rate hikes that walk through and the prepared remarks comes from. We think that will be conservative but we don't know exactly where, so I think it's probably the best thing I can point you to.
Steven Chubak: Got it, okay and just quick follow-up, the delta between the growth in the DCA versus the ICA? Can you speak to what drove that dynamic or that discrepancy?
Matt Audette: I'm assuming you're talking about on the rates.
Steven Chubak: Yes, just on the rate size like 23 basis points on the DCA versus the ICA which was a little bit more muted?
Matt Audette: I think the key thing to remember there is, that the DCA is a fee per account, so just movements and the balances themselves it doesn't change economics, it will change the way that we display the rate and the balances got a little bit smaller there. So it is just the nature the DCA accounts is going to be a little bit more volatile when the economics are expressed in basis points, that's all it was going on.
Steven Chubak: Got it. Thanks for taking the extra question.
Operator: Thank you. Our next question will come from the line of Christian Beloof [ph] of Credit Suisse. Please proceed.
Unidentified Analyst: So my follow-up, capital allocation. Just curious in your commentary around well it sounds to me like buyback is an increase preference [indiscernible] buyback's excess capital. But just curious how do you think about M&A and read merits really grow in the franchise here, given you have increased financial and competitive strength and decision M&A to grow the business as opposed to I guess financial [indiscernible] share count.
Matt Audette: Yes, well I'll start and I think Dan will - can jump in here. I mean, I think the way we view M&A is when you think about our deploying capital and help drive our strategy there is lots of things that we're doing, I'd call just growth investments whether it's transition assistance to drive organic recruiting or investing in technology to drive growth overall and we see M&A, if there is M&A that make sense it helps move that strategy along then I think we would do that. I mean, I think that's our overall view, is if it could help move the strategy forward. We would look at it.
Dan Arnold: I think just the only color I would add to that is, that we would tend to prioritize those growth opportunities first from a deployment of capital given the appropriate shareholder returns and then complement that with the return of capital and so I think the strategy we have around positioning balance sheet set up to do that well.
Unidentified Analyst: Okay, thank you that's it from me.
Operator: Our next question will come from the line of Devin Ryan with JMP Securities. Please proceed.
Devin Ryan: Maybe back to the net new asset observation obviously another nice quarter there. Just curious, what you guys are seeing in retail customer engagement. Right now, do you feel like you're maybe winning more wallet [ph] from our clients or they're just more engaged or more invested right now, maybe even kind of post-election time period or any other anecdotes you can share just to give us some perspective of how retail investors are feeling?
Matt Audette: So let me take a stab at that and I'll give you probably more of a macro answer without being overly precise on numbers I don't specifically have, but I think you're right certainly the macro environment improved, which we saw a strong correlation with investment sentiment and that created more opportunities for advisors to put money to work and I think you're right, it comes from both existing money that many not have been invested in the market and then also it comes from putting or gathering new assets and putting those to work. So I definitely think that is a contributor to overall flows in Q1. The second one is, we're actually seeing more movement of assets because of some of the changes in the industry and our advisors are getting opportunities associated with the movement of those assets and again whether it be environmental things that are changing, whether it be regulatory changes. Policy changes occur at one firm that create a shift or change and that creates an opportunity for advisors to provide a different solution and thus ultimately gather those assets and put it to work. So I think those are two dynamics that we're seeing in our existing advisor base, that are supporting and helping the growth and inflows of assets in Q1.
Devin Ryan: Got it terrific and then just another one here on the ICA. Maybe just a mechanical question, so the 100 basis points kind of guidance of next quarter. Maybe that seems a little bit conservative to us if the deposit cost don't change and if you go back look at kind of where you were in the third quarter last year. I think you were 62 basis points there. We've had two fed hike since, I think LIBOR is up just as much. So I'm just curious, is it timing or maybe more could flow through, I know there is obviously a lot of contract and so it's complicated but just trying to think about what we might be missing and kind of basic mechanics of the step up.
Matt Audette: I think if you start with just where we've seen, just starting with Fed funds, right so Fed funds was 70 bps average in Q1. It's been hovering around 90 right now, so to think as a starting point we're talking about 20 and then we've got things indexed to one month and [indiscernible] LIBOR like I talked about as well as some fixed rate balances. So just even at that point we would expect something less than that and 88 to around 100 is 12. So those are the key things that bring it down, so maybe just keeping in mind I'm talking about where the interest rate environment is right now and Fed funds is up 20 off to Q1, not 25 so far.
Devin Ryan: Great. I'll hop back in the queue. Thanks guys.
Operator: Thank you. Our next question will come from the line of William Katz with Citigroup. Please proceed.
William Katz: Thank you very much. And also thanks so much for the extra disclosure very helpful. As you think about what's happening on the mutual fund size of the business, it seems to be an evolution of what that business is going to look like over the next several years. How do you sort of see if any changes on the point of sale economics for your franchise as the magic business looks like it's facing tighter margins and lower fees rates? And I guess the ultimate questions, would you see any type of pressure on platform fees or just any of the trailer economics here as they adopt to a low profit model as well.
Matt Audette: Bill, thanks. I think the whole industry has to continue to assess the impact of lower fees and where that impacts or effects the overall ecosystem and so, I think we're all constantly evaluating what those potential impacts could be and we continue to work with product sponsors thinking through that and exploring kind of creative ideas around, how do we best adapt to an environment that has pricing pressures or price points that are going to change overtime. And so it's hard to tell exactly where that may land, I think with respect to the mutual fund landscape. We believe offering mutual funds both cross advisory and brokerage solutions is still going to be relevant, we still want to make sure that we create and maintain that choice and we want to design those product such that they are ultimately appealing for the end investor and create opportunity for the advisor to put that to work. If those require modifications to the overall pricing to ensure that you get good value for what you're paying for, I think that's something that we'll have to work through and I would be remiss if I got out over my season [ph] so it's just going to be exactly expedite. I do think the industry will have to go through and continue to work on that and then I think you see some of the product sponsors already beginning to make strategic moves that are reflective of trying to bring down the differential between the cost of active management and it's after cost performance relative to other options and alternatives and I think that's a good indication of the ecosystem needs asset managers and it needs distributors and collectively they've got to work together to continue to deliver good products to the end client.
William Katz: Okay that's helpful color and then my final question coming back to capital management for a moment. In the past, I think you've expressed some channeled thoughts on pricing expectations from potential sellers. Just wanted to give us an update on within the context of maybe an M&A pipeline whether you're in early stage discussions, middle stage discussions and how are some of the big ask spread playing out between what you really want and maybe purchase something adverse, what the expectations are?
Matt Audette: Bill, I think I just emphasize the way we think about M&A is that's going to help move the strategy forward. We don't have any comment on where we are with anything or any price or roles other than it's got to drive value for shareholders. And the way you drive value for shareholders is the right price, based on returns, it doesn't move the strategy for it. So those will be your guiding principles on any place that were deploying capital.
William Katz: Okay, thanks to hear my questions.
Operator: Thank you. Our next question will come from the line of Anna [indiscernible] with KBW. Please proceed.
Unidentified Analyst: I wanted to piggyback on one of Bill's question on kind of what's facing the fund sponsors the challenges facing them. When you talked about enhancing advisor solutions you mentioned lowering third party manager as a benefit to your client, so is that kind of the circumstance for the fund sponsors expecting a lower rate to be part of your managed program.
Matt Audette: The context around that were the investments that we continue to make in our centrally managed platforms, we've got several different platforms for example model wealth portfolios or MWP, we also have a separately managed platform of which we continue to work on enhancing both the capabilities within that platform as well as the pricing in it and one of the ways of which to reduce the overall cost of that is work with the managers that participate in that platform and what they ultimately charge to the end investor. So if you're an equity manager and you charge X you might decide to continue to work on that platform, you're going to charge X, 0.90% of X and we ultimately then will pass that through the end investor and it's just a way to create more appeal for that centrally managed solution both through capabilities and lower price. So that's the concept that we're talking about.
Unidentified Analyst: Okay understood, is there any kind of give up on LPL's part to help kind of degrade some of that lower fee for the asset manager.
Matt Audette: Well I think that you've seen a great example of that through what we do in the last couple of years within MWP, where we've reduced platforms fees and strategist fees and we worked with the other strategist, the third party strategist to lower their fees. So yes I think you're seeing a collaborative efforts across what we think are really important platforms that add great value to our advisors and the investors and focus on working together to lower those costs, so they are more appealing and good leverage points for our advisors. So MWP is a great example of that, our separately managed platform that I'm describing, we would take that same approach in working through that.
Unidentified Analyst: Okay great appreciate the color and for my follow-up. Just wanted to check in on something it looks like product sponsors on the platform were down a bit year-over-year and I was just wondering if that's part of any conscious effort of LPL's part to maybe reduce the number of offering or if it's just function of product sponsors dropping out for some reason.
Dan Arnold: Yes, I'm not sure the exact number you're referring to, so let me just speak at a macro level and then certainly Matt you add any color that you can around that, but I think if you look at the holistic landscape of product choice, right certainly as we think about the regulatory environment changing or potentially a fiduciary rule being offered you begin to have to look at the set of choices that you make, choice can create sometimes conflict and what we're trying to do is, make sure that we can maintain choice but also the manage the risk around that choice. And so instead of offering 150 different fund families you began to think about how you offer more procured or managed choice, such that you're still creating great choice in making sure that your advisors have access to the products and solutions they need to serve and support the investor, but that you can do it in a way that has a different risk profile and quite frankly has a much better way to manage that risk, so it's a healthy balance that we got to strike and work through and I do believe that's going be a macro trend in the independent marketplace as we move forward and some of that maybe occurring already in the macro marketplace, but I do think that's a general trend, but I can't speak to the exact number you're referring to.
Unidentified Analyst: Okay, appreciate the color. Thanks so much.
Operator: Thank you. Our next question will come from the line of Ken Worthington with JPMorgan. Please proceed.
Ken Worthington: First, you guys reported LPL's to ties with I think large number of these turnkey asset management platforms including like investment in others. And it seems to me, it feels like you're in sourcing services for your advisors that maybe was previously outsourced through these [indiscernible]. Can you talk about little bit about what you're doing here and maybe what's the opportunity is for LPL?
Matt Audette: I think, it's the same premise that I was just describing as you think a world where you're trying to be more thoughtful about the choice that you provide and the value it creates in exchange for the risk that it creates, I think you get back to this notion of what is the right amount of curated choice that ensures that your advisors have the capabilities they need to meet their clients need and that's all that we are doing. We had a number of different third-party asset managers that were part of our advisory platform and what you see us doing is just is assessing those that we had very little, little assets with that it didn't create a whole lot of value at the end of the day in exchange for the risk that they created in terms of making them part of program. So what you see us doing is just getting down to a smarter number of third-party asset managers or TAMs that participate on our advisory platform and that's all that we've done and I think if you look at the overall assets on our advisory platform, these third-party asset managers make up a much, much smaller proportion or percentage of the overall advisory assets. So the significance of that or the upside of that is not great. It's actually more just about being smarter about how you offer choice and being able to execute and support those sets of choices and manage the risk.
Ken Worthington: Okay, makes total sense. I think Connor may have asked this, I'm not quite sure. I'm going to try it anyway. Other revenue was up a bunch this quarter $19 million, I guess $10 million last year. I believe like $1 million of that was from bunch of the departures. What was the driver of the rest of the bump and is it recurring?
Matt Audette: So you the $1 million correct. The rest of it is the mark-to-market on the advisors deferred comp and that's offset in the commission and advisory expense. So it doesn't fall at the bottom line, just mark-to-market noise. So if you're thinking about, I'd look at Q4 is a better indicator of that item, just knowing you can move up and down with the market.
Ken Worthington: Okay, awesome. Thank you very much.
Operator: Thank you. Our next question will come from the line of Chris Shutler with William Blair. Please proceed.
Chris Shutler: It sounds like you expect to have client works fully rolled out by the end of the year, so that I guess would imply the branch net will gone by the end of the year, is that right and what kind of cost could we see fall out of the P&L as a result?
Matt Audette: So I think that you're right, we're going through the change management curve in terms of helping advisors move from branch net to client works and I think to the extent that we're completely ready to transition everyone off of branch net onto client works. Certainly that creates an opportunity for simplicity in terms of managing systems and support of those overall systems. With respect to the economic gain associated with that, I'm not sure how material that is and I don't have optics on that today. At the end of the day, some of what you're retiring is being replaced by new systems and new hardware and things of that nature. So I'm not sure that there is great financial windfall associated with that. At the end of the day that's more about creating much, much better functionality for advisors and the upside that we get from that comes creating a better experience for them more efficiency in their practices, which ultimately is rewarded with giving them more time to grow their practice. So that's kind of how to think about that trade financially, if you will. And I think with respect, when is branch net completely gone. I don't know that we have an exact date on when that's officially retired but think where the advisors are spending 95%, 99% of their time, we would yes like to have them using client works by the end of the year almost exclusively.
Chris Shutler: Okay, thanks and then I guess in a big scheme of things it's relatively small, but we saw there was a bank client departure that occurred this month and supposedly according to press reports at about $1 billion of wealth management assets. Just curious in that instance, was it driven by the LPL or the bank and probably more importantly if you go back to, well you talked about last quarter and this is additional departure. Where are you in the process of kind of evaluating your less profitable relationships?
Matt Audette: Let me start with the second part of that question, first. Again as we said, I think we've challenged ourselves to become more seasoned at how we think about supporting and managing our clients and having much better metrics about those relationships and then making sure that we allocate and deploy resources around those relationships that tend to use our services more heavily and create and drive much more value for our clients, investors and shareholders. And so at the end of the day, you're going to get a situation where some clients aren't always aligned operationally maybe economically or strategically and you got to ultimately think about, what you do different about the relationship going forward and I think in some cases that might end up being situation where you separate from that client, that said it's not, we don't see that as a systemic effort that's going to create a significant amount of transition off the platform, but rather we'll handle that on a one-off basis and so as we season, our overall metrics and as we think about managing those relationships, I think it will put us in a good position of being smart about how to handle those one off scenarios as they come up. So don't look for some big bang in terms of some big transition that's going to create a step function change in that overall effort. I think on the second part of your question of course we win clients quarter-to-quarter and we lose some clients quarter-to-quarter as we've said, we maintain about 95% retention of our client, that said sometimes client separate from us in the case and in the reference of any specific institution required at least, we typically don't comment on those specific departures, but think about those as more just normal attrition. If that's helpful.
Chris Shutler: Makes sense. Thank you.
Operator: Thank you. Our next question will come from the line of Chris Harris with Wells Fargo. Please proceed.
Chris Harris: So guys have made clearly a lot of changes to the platform along with pricing changes for various products. I'm just wondering where are we in the evolution of all that. Would you say most of the heavy lifting is been done at this point or? Could we still see quite of lot of changes to come as it relates to your business in your platform?
Dan Arnold: I think we always start from a strategic standpoint and we're constantly monitoring the environment, the competitive trends and assessing how we think about positioning ourselves best strategically to create value for advisors and for our shareholders and position us to win and as you go through those sets of considerations, certainly the pricing lever is one that we often consider as you said and I think your point to, your reference what we've done with MWP over the last couple of years is a great example of that. And I think as we think about moving forward, we continue to evaluate where we may still have opportunity of which to use pricing as a lever of which to drive growth then ultimately generate a return on any pricing adjustment that we would make. And so we will be thoughtful and disciplined about that approach and we continuously assess and monitor the marketplace which drives how we think about that.
Chris Harris: Okay and quick follow-up question for Matt on expenses. You referenced you wanted to really focus on driving operating leverage this year. If we were in a position where we're getting multiple Fed rate hikes and you know let's hope that happens. But to the extent that happens, might that change your approach to expenses at all. I guess I'm just wondering if you guys might be inclined to invest a little bit more of that back in the business or is that perhaps not the case and it's really just a lot of that's going to fall at the bottom line.
Matt Audette: I mean I think I just emphasize the near term. Right? I think we're comfortable with our guidance on core G&A, $710 million to $725 million. I think we are overly focused on the strategy of growing the business and executing with excellence and that executing in excellence includes delivering operating leverage. So we think that's extremely important it's part of our strategy and I just emphasize what we're comfortable with the spending that we prioritize this year and feel good about it.
Chris Harris: All right thank you.
Operator: Thank you. Our next question will come from the line of Michael Cyrus [ph] with Morgan Stanley. Please proceed.
Unidentified Analyst: On your slide deck you mentioned redesigning investors statement, just curious what changes you or contemplating and also there is been some chatter in the industry about breaking out fees that are embedded in the [indiscernible] for robotics is that something you're considering or something that you may continue in future.
Dan Arnold: Yes, so on the first part of the question. That's right, we do continue to work on how to improve the investor experience. One of the ways that we see doing that certainly to improve how we communicate with those clients on a monthly basis through their statement and we do believe there is a great room for improvement across the industry relative to how we communicate with that advisor and help them understand sort of that life journey they have around their investments and how they relate to them, trying to achieve their goals and objectives and so we are going to go on a journey to improve and enhance that overall reporting which includes that statements which also includes ultimately enhancing the digital experience which they engage with us. And so the first step in that will be an enhancements to the statements that will be out directionally in the third quarter and so I think you'll see a variety of different changes that are going to occur on that and not to drill down into any of them specifically. It will be a pretty significant design of the statement all with respect to creating greater usability of it and readability and understanding on the part of the investor.
Unidentified Analyst: Okay and then on feature advisor. I think you had a partnership with [indiscernible] announced a year ago or so can you just update us on how that's progressing in terms of the rollout and the timeframe there, any sort of success factors you.
Matt Audette: We call that guided well portfolios as how we branded it and it is an automated advice solution of which our strategy was to partner with them and then integrate the workflows into our overall systems both for operational efficiency and good risk management, hygiene and also a good experience for the advisor and the investor in using the tool. We've gone through multiple iterations of working through integration. We're in pilot right now with it and getting good feedback and learning's from that. Again our target rollout for that is directionally towards the end of this second quarter. So assuming we continue to progress on the trajectory that we see right now.
Unidentified Analyst: Great, thanks for taking my questions and disclosures.
Operator: Thank you. Ladies and gentlemen, this concludes our question-and-answer session for today. So now it's my pleasure to hand the conference back over to Dan Arnold. President and Chief Executive Officer for closing comments and remarks. Sir?